Operator: Good morning. My name is Keith and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Babcock & Wilcox First Quarter 2016 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Leslie Kass, Vice President, Investor Relations and Communications, you may begin your conference.
Leslie Kass: Thank you, Keith and good morning everyone. Welcome to Babcock & Wilcox Enterprises' first quarter 2016 earnings conference call. I'm Leslie Kass, Vice President, Investor Relations and Communications at B&W. Joining me this morning are Jim Ferland, B&W's Chairman and Chief Executive Officer; and Jenny Apker, Senior Vice President and Chief Financial Officer, to talk about our first quarter earnings. Many of you have already seen a copy of our press release issued late yesterday, for those of you who have not, it is available on our website at babcock.com. During this call, certain statements we make will be forward-looking. I want to call your attention to our Safe Harbor provision for forward-looking statements that can be found at the end of our press release. The Safe Harbor provision identifies risk factors that may cause actual results to differ materially from the content of our forward-looking statements. Our Annual Report on Form 10-K and our Form 10-Q for the first quarter on file with the SEC provides further detail about the risk factors related to our business. Additionally, I want to remind you that except as required by law, B&W undertakes no obligation to update any forward-looking statement to reflect events or circumstances that may arise after the date of this call. Also on today's call, the company may provide non-GAAP information regarding certain of its historical results and 2016 outlook to supplement the results provided in accordance with GAAP. This information should not be considered superior to or as a substitute for the comparable GAAP measures. B&W believes the non-GAAP measures provide meaningful insight into the company's operational performance and provides these measures to investors to help facilitate comparisons of operating results with prior periods and to assist them in understanding B&W's ongoing operations. A reconciliation of these non-GAAP measures can be found in our first quarter earnings release issued late yesterday and in our company overview presentation posted on the Investor Relations section of our website at babcock.com. I would ask that you limit yourself to one question and perhaps one follow-up. You are, of course, welcome to get back in the queue. With that, I will now turn the call over to Jim.
James Ferland: Thanks, Leslie. Good morning everyone. On today's call we'll discuss our first quarter earnings and provide an update on our strategic priorities. Let's start with the review of the quarter. If you recall from last year, we had a really good first quarter in 2015 that we were concerned would provide a tough comparison for 2016. We were able to exceed our expectations and once again start the year with a solid quarter which we were pleased to deliver in today's challenging markets. Higher revenues and global power and global services help to cover a shortfall in industrial environmental. Consolidated revenues for the quarter were $404 million, a small increase of 1.8% compared to the prior year first quarter. Adjusted earnings per share were $0.27 and adjusted operating income for the period was $21.3 million which were nearly the same as the corresponding period last year even though we had a nearly $3 million of standalone cost in 2016. GAAP EPS was $0.20 for the quarter. Our backlog as of March 31, 2016 is $2.3 billion which is slightly lower than the year-over-year comparison. Our bid pipeline remains strong at $2.9 billion. The global power segment had a good quarter with a 19% increase in gross profit that was driven by higher volume and upside provided from a couple of well executed projects that are nearing completion. Global services had a 4% increase in revenue but the gross profit was down as the mix of work in the quarter favored construction services which is the lowest margin work in that segment. We feel good about the 2016 outlook for global services but we are seeing potentially challenging trends in the U.S. electricity generation market that could have an impact on global services in 2017 and 2018. Along with the energy information agency HIS, CERA and others, we expect to call plant closers to stabilize this year resulting in coal-fired plants providing between 33% and 34% of the U.S. electricity generation in 2016 followed by a slow 1% or 2% decline annually over the next 10+ years. Now last three months electricity market has been depressed with an unusually mild winter and sustained exceptionally low gas prices. Due to these market conditions, coal utilization has dropped noticeably in the first few months as compared to 2015. The question we're wrestling with is whether this is a temporary change or the rate of decline of coal utilization has yet to stabilize. We're studying that question not only with data and analysis but we're also talking with our customers about specific units and fleet operational plans. If we determine that we need to update our projections to reflect a lower baseline coal utilization, we will as we have done before, proactively make changes to our business to stay ahead of the curve. As we get our arms around the longer term outlook and any implication for the business, we'll provide an update on our next quarterly call. Although industrial environmental placement had a very strong finish to 2015, the weakness in the broad U.S. industrial markets impacted our industrial environmental segment with a 21% decline in revenues in the first quarter of 2016 compared with Q1 2015. In a typical year our diverse set of customers act as a hedge against the downturn in one or more areas. So far in 2016, markets driven by chemicals and housing remained strong. However, many of the other segments have weakened which is consistent with the general economic trends and slow growth others are reporting. We believe this weakness is temporary and the leadership team in that business has seen similar cycles in the past. Although we expect that the industrial environmental revenues will be down this year, we're confident that global power will step up to cover the shortfall. Longer term, we believe that industrial environmental is a naturally growing market driven by increasing levels of environmental regulations; it is a good business for B&W to be in. To sum up, we're off to a very good start for the year. We believe global power has enough upside to cover the soft industrial markets that is affecting the industrial environmental business. We are reaffirming our guidance of $1.25 to $1.45 adjusted EPS for the full year. Let me now turn the call over to Jenny who will discuss the segment results and other financial matters after which I'll provide an update on our strategic priorities.
Jenny Apker: Thanks, Jim. Turning to the numbers; the Global Power segment posted growth in revenue and increased gross profits. Revenues in the first quarter were $130.5 million which is a 5.3% increase over $123.9 million posted in the same period of 2015. Due to an increase in new build steam projects that was partially offset by a decline in new build environmental projects. Gross profit in Global Power was $24.4 million, a $4 million increase over a $20.4 million gross profit in the first quarter 2015. As Jim mentioned, this 19.3% increase was led by the several renewables projects, as well as the recognition of project improvements associated with a couple of projects nearing completion. At March 31, 2016 backlog in this segment was nearly $1.2 billion, down 7.6% from the backlog on March 31, 2015 due to the timing of a new project awards. Global services revenues were $241.2 million in the first quarter of 2016 compared to revenues of $232.2 million in the corresponding period of 2015. This $9 million increase in revenues was primarily due to increased construction activities, partially offset by lower projects and parts revenue. This unfavorable revenue mix is the primary driver of the lower gross margin posted in the period. It was also impacted by operations at our Ebensburg coal refuse power plant that normally generates a small profit but in the first quarter posted a modest loss. Gross profit in the current quarter was $48.2 million versus $53.3 million in the three months ended March 31, 2015, a decrease of $5.1 million. The backlog as of March 31, 2016 in global services is solid at $1.1 billion compared to $1.2 billion in the first quarter of 2015. Revenues in the industrial environmental segment for the first quarter of 2016 were $32.5 million compared to $41.1 million in the first quarter of 2015, primarily due to lower environmental solutions product sales. Gross profit was $7.6 million in the current quarter compared to $9.7 million in the prior year period, mostly as a result of lower volume. Backlog in this segment at the end of the first quarter 2016 was $67 million, a 23% decrease compared to backlog at March 2015, largely due to the current weakness in the U.S. industrial market. For the company, SG&A increased $1.6 million in the quarter compared to the prior year period as cost savings help offset standalone overhead cost of approximately $3 million. Another positive in the quarter, equity income contributed $2.7 million in the first quarter 2016 compared to a $2.1 million loss in the first quarter 2015 due to increased workload and improved project performance in both our China and India JVs. For the first quarter 2016 the GAAP effective tax rate was 38% and our adjusted effective tax rate was approximately 32%. We continue to anticipate that our full year adjusted effective tax rate will be in the range of 31% to 33%. For the quarter cash flow from operations was a negative $38 million primarily as a result of changes in advanced billing and contracts in progress. Remember that our fourth quarter 2015 free cash flow was quite strong, in part due to the achievement of billing milestones that allowed us to collect cash in the fourth quarter which was reflected in the year-end cash positions. As we executed work over the course of the first quarter, we worked down that advanced billing positions. However, the timing of milestone achievements during the first quarter did not give us the opportunity to bill and collect an equal amount of cash prior to the end of the quarter. By comparison, in the first quarter of 2015 cash flow from operations was a positive $52 million as we received a number of initial contract payments primarily related to the then recently booked Renewable Energy project in the UK. The timing of contract billing milestones will continue to affect operating cash flow throughout the year resulting in what may look like lumpy cash flow quarter-to-quarter. That said, we continue to expect free cash flow conversion rate between 75% to 100% of net income for the full year 2016. Our stock repurchase plan remains active as we bought an additional 1.8 million shares for $34.7 million during the first quarter and an additional 0.3 million shares for $6.9 million during the month of April. This brings to $65.9 million, the total amount spent under the $100 million share repurchase program authorized by the Board after the spend last summer. We expect to repurchase the remaining $34.1 million under this authorization by the end of the third quarter 2016. Now I'll hand the call back over to Jim for an update on our strategic priority.
James Ferland: Thanks, Jenny. In reviewing our strategic priorities, our margin improvement program remains on-track to deliver $15 million of savings in 2016 and again in 2017. Our efforts to pursue core grow internationally are also gaining traction as our business development team is finding opportunities in international markets and expanding our reach. We've been working on both of these initiatives long before the spend, and are pleased to see them making progress consistent with our plans. We continue to pursue our strategy to diversify and grow the business through a disciplined acquisition program. The outlook for growth remains bright and we still expect to announce one to two deals this year. The timing is not fully within our control but we have multiple opportunities in various stages that operate expansion in naturally growing markets including industrial environmental, renewable waste energy, and other power generation or industrial equipment that serves a broad global market. We will stick to our business model focusing on technology that is used to design engineered solutions for customers and also generates an after-market business for us. We're seeing a number of promising opportunities and continue to add targets to our pipeline. If we use our balance sheet wisely we anticipate B&W will be a very different industrial company in two to three years. I'll close by saying that we had a very good start to 2016. We're confident we can deliver on our goals and strategies for this year and look forward to adding acquisitions to our portfolio of businesses so we can accelerate our transformation into a diversified industrial company. That concludes our prepared remarks. I'll now turn the call back over to Keith who will assist us in taking your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from line of Bob Labick with CJS Securities. Your line is open.
Bob Labick: Good morning. Congratulations on a nice start to the year.
James Ferland: Thanks, Bob.
Bob Labick: One of the start in industrial environmental, obviously the environment is tough, we all see that you discussed that a little bit. Could you talk just more from a company-specific standpoint, are you losing customers or are you gaining customers or what are you seeing beneath the overall macro environment in terms of the execution of industrial environmental? And how are you continuing to improve that into - grow that once the macro improves?
James Ferland: So it is the macro as you said that's driving the challenge. Project execution inside industrial environmental remains very strong, we don't think we've lost any market share to any customers in any of the sub-segments. Just clicking through some of the sub-segments we're in the down segments include automotive, power-gen, coding and packaging, food, and the up segments, right this minute, chemical and farm and wood products/construction. It gives you a little bit of a feel for there is a couple more downs and ups in that group. In the long run we continue to believe that the macro in this business is good and we'll see sustained growth. That data as we take a look at the prospects for 2016 and we look at our competitors in the marketplace, it wouldn't surprise us to end up down a 1% or 2% year-over-year and then pick right up back on our growth trajectory as we move into 2017. So we still feel really good about the business, it's the right business for us to be in. We continue to get better and benefit from cross-selling between segments. But it's going to be a bit of a challenge in '16 and we may be flat, we may be down 1% to 2% before we think it picks back up in '17.
Bob Labick: Okay, great. And then for my follow-up just in the same area, you mentioned that this is one of the areas of focus for your potential M&A. Are there - are you looking at things to have cross-selling synergies or they are just other markets that you would go in or how would M&A sit into the existing MEGTEC business or would it be stand next to business? You know what I mean, if it's going to combine together to make it a larger actually with more solutions or how would you look at the M&A and industry environment?
James Ferland: So there are couple of options in there and I'd say that we have opportunities for inorganic growth in both of those areas. We could find a business that fits very well, directly into MEGTEC in which case we would integrate it into MEGTEC and gain synergies in that manner. And there are opportunities like that in the marketplace. We may find a business that has the same structural business model, in other words it's a technology-based business that has engineered solutions and an after-market in a naturally growing segment. That might make most sense standing next to MEGTEC. Because they are just different enough that we think we don't operate them alone. Yet, we would still see opportunities to cross-sell and perhaps to exchange technology back and forth. Perhaps with MEGTC or perhaps to some of our other existing businesses.
Bob Labick: Okay, great. Thank you very much.
Operator: Your next question comes from line of Brian Konigsberg, Vertical Research Partners. Your line is open.
Brian Konigsberg: Yes, hi, good morning. I just wanted to hit a little bit more on industrial environmental - just to get our bearings on - just the driver side, we do understand that involve the industrial market is fairly - I guess, struggling at this point. Hopefully we see some stabilization but how much of the business is actually driven by regulations rather than just kind of the market gyrations itself? How should we kind of frame the business going forward and what the real drivers are going to be?
James Ferland: So the underlying driver, I guess it's to pull - it's all about how they come together. The underlying driver is increased environmental regulation, requires our industrial customers to spend - whether they are building a new facility and expanding or upgrading an existing facility to meet new environmental requirements. That said, what we find not surprisingly is that those individual customer decisions are overlaid by the broader macro industrial environment that they operate in. So if it's a strong growing environment they are more likely to make the investment decision to either upgrade an existing line or make it - put on a new facility. That said, if they are facing some broader market headwinds, typically they have some flexibility in their timing as to these environmental upgrade decisions. And what we find is the work generally pushes out and that's a little bit of what we're seeing in the marketplace today. We're not seeing a dramatic decline in work, that said, it's not growing like we think it will overtime either.
Brian Konigsberg: Okay. Are there specific periods of time or basically dates by which certain markets need to achieve regulatory efficiencies? I don't know if there is some kind of detail you could provide by the markets that could just give us a better feel for how this might play out over the next couple of years?
James Ferland: I think the best indicator is going to be the broader industrial market. And is it stabilizing which some folks seem to see, and is it going to get back on its overall growth trajectory that's where we tend to see better correlation with the growth in the business. It turns out when we try to break down the business as per your question by the various specific environmental regulations and deadlines, that impacts different industrial segments and different countries around the world, it's hard for us to put our arms around specific timelines. In that way it's different than our power-gen business which was dominated two or three years ago by very specific environmental deadlines and very specific decision points for our customers. This one is more scattered, the overall trend is definitely toward increased regulations all over the world and that's helping us. But what we find is that the broader industrial marketplace is a better indicator of the speed at which we'll grow the business.
Brian Konigsberg: Got it. And maybe can you talk a little bit about the pipeline with Global Power? Any more opportunities to book large projects throughout the year? You've given some updates on what the size of the pipeline is, any color if you can tell on that would be helpful.
James Ferland: Sure. So the overall pipeline remains strong for us. We would continue - we would expect to book one to two additional large projects in Global Power beyond the two we've already announced in 2016. We continue to see opportunities in Europe which is where we've had an awful lot of success, the last couple of years. I will tell you that we continue to see on growing number of opportunities around the world, that - it just take time to develop, we have good focus multiple opportunities, we have a great technology and a great product to bring to the marketplace, and a very good name in Holland backed by B&W. It just takes a little bit of time for those opportunities to play out. So we remain positive on the growth opportunities in that segment and expect one to two more at least before the end of the year.
Brian Konigsberg: And where does the bid pipeline stand today?
James Ferland: $2.9 billion in total.
Brian Konigsberg: In total such logic sequentially [ph]?
James Ferland: Essentially yes, I think it was the same number last quarter.
Brian Konigsberg: Got it. All right, thank you very much.
Operator: Your next question comes from line of Jamie Cook with Credit Suisse. Your line is open.
Jamie Cook: Hi, good morning, nice quarter. I guess a couple questions; one, I don't think I saw it in the Q, how much did the favorable milestone you guys talk about helped margins in the quarter? Because I'm just trying to get a sense for - I know you exceeded your expectations, you talked about power and services being okay, but I'm just trying to figure out how much that impacted your numbers really? And then can you give us an update on timing of projects because that was very relevant in terms of how you were thinking about the full year? And then my last question back on the industrial environmental business, I was curious if you can talk about any trends that you're seeing in April and May because some companies are talking about markets bottoming which sounds like your markets may be worse but just any clarity there? Thank you.
James Ferland: Sure, let me - if I don't care all of those Jamie, then jump back in with whatever I missed. So we did have a little bit of a benefit I would say in Global Power from timing in Q1. We had a couple of projects we've been performing very well on, which is great. But we figured the upside opportunities for those projects would be more impute to move back into Q2 and it moved back into Q1. We obviously did not anticipate that but it's a good problem if we're going to have a problem. So that's kind of a little bit of the timing reason, why Q1 was a little bit stronger than we anticipated, yet we still think the full year is on-track. So that was one let me jump to the last question on industrial environmental and then see if Jenny wants to jump in. So in regard to your question on industrial environmental and trends, I mean what we're seeing in April, I certainly would not want to leave the impression that it's getting worse. I think it's flattish in April, from what I've heard. I've read some of the external reports that some folks thinking it's flattening to stabilize things to maybe getting better. We'll see over the next couple of months if we're seeing that or not.
Jamie Cook: And Jim, just to clarify, when you're saying flat, sort of flattening stable is that year-over-year or sequentially?
James Ferland: I think in essence they end up and I don't know exactly the Q2 numbers on industrial environmental but I think for the year we're anticipating industrial environmental from a revenue perspective being roughly flat to maybe down 1% to 2% year-over-year.
Jamie Cook: Okay. Whereas we started the year expecting they would be up modestly year-over-year?
James Ferland: Correct.
Jamie Cook: Okay. And then - Jenny, just how much did the favorable milestone help earnings? And in my last question if you guys could can't comment on just the broader competitive environment, I know you cited that more of an issue last quarter, just an update and then I'll get back in Q.
Jenny Apker: Jamie we have not disclosed the incremental improvement related to the project improvement in Q1, that was otherwise - we would have expected to see in Q2. You had asked about timing of projects?
Jamie Cook: No - well, Jim answered the question on timing of projects. I just thought there was a favorable milestone that helped your Global Power business?
James Ferland: I would say it's a couple - and Jenny, we didn't disclose the exact numbers but it was modest, it was enough that you could see it but it didn't change the whole picture.
Jamie Cook: Okay, thanks. And then just a broader competitive environment?
James Ferland: Jamie, what specific market you're referencing back to the comments on global services in coal or industrial environmental?
Jamie Cook: I'm just asking broadly because part of the reason why you talked about when you've lowered your longer term guidance last quarter from 10% to 12% to 8%. I mean you talked about sort of pricing pressures and stuff like that. So I'm just trying to see if that's stable/worse.
James Ferland: Fair enough, so we'll break into three segments; Global Power that business remains a strength for can continue to see in increasing number of opportunities and we continue to perform well on the projects. So I don't think that's any different than last year, we still - we feel good about it today just about like we did in the past. Global services - again, we're expecting some stabilization on the decline in coal usage. Our backlog is strong, our execution was good. In Q1 we expect global services to have a good year. With margins down slightly in Q1 due to mix because we had a large number of construction projects in a little bit lower parts but we expect that to rebalance toward the back half of the year and the margins to come up a little bit in global services overtime. And industrial environmental, I think the difference would be - we knew that there was a potential for some weakness in the market, we could see what was happening to everybody else in the broader industrial sector, we just hadn't seen it in 2015. We built a little bit of that conservatism into 2016 and that was part of the reason for stepping down the growth numbers and sure enough that's what we saw. Industrial environmental not calling out the bottom by any means but that modest growth that Jenny mentioned, seems a little bit tougher to achieve in 2016. So net-net, I - we still feel good about '16, I don't think anything has changed since the end of the year.
Jamie Cook: Okay, great. I'll get back in queue, thank you.
Operator: Your next question comes from line of Chase Jacobson with William Blair. Your line is open.
Chase Jacobson: Hi, good morning. Jim, I just wanted to talk about your global services market commentary. The weather issue is kind of a temporary issue but the gas prices, low gas prices are obviously well known factor. And it sounds like - not surprising the buyer seriously downside. So I just want to understand better your changing tone here or is it more about the macro outlook or is it more about your discussions with your customers? And with that - with incremental actions you can take in this business; can you just maybe give us some color there and what they could be or what the timing of them would be if they did at it, they have to take them?
James Ferland: Sure. So it's really it's commentary on the macro. I think as both recognized when we talked about our global services business, it's primarily an after-market business, mostly focused on coal and mostly on North American coal. So in the long run, as coal utilization in the U.S. drops, our business has the potential to be impacted by that, it's not immediate, it's certainly a lag effect in there. We remain positive on 2016, we have a lot of backlog work, we're executing it well, we continue to have the new products that we deliver into the marketplace that are well received by our customers, and particularly, in regard to coal-ash. And some of challenges they have there and some of the solutions that we provide, so it's not a commentary at all on '16 but like everybody else, we can look at the coal generation numbers in the first quarter 2016, and they were down. And it makes perfect sense; it was an extremely warm winter combined with very low natural gas prices. In some cases sub-$2 and a lot of larger electricity market. Any end result of that was, there was some reduction in coal utilization. We had the expected an average 33% to 34%. It was a hair low [ph] in Q1. The question we're wrestling with is, is it a one-off event? I agree gas is likely to stay low for the next couple of years, if it stays warm whereas that probably did not help our market in the winter, it would help the coal market a lot in the summer. And it might well make up for what happened in the winter. But we're simply lagging to the marketplace that we watched those trends as well, and we realized that there is a long-term potential impact on our business and we're keeping our eyes on it. That's all. The commentary around - look if we think that this is a more permanent shift down right, we will stay aggressively in front of that. I think we see a few percent reduction coming in 2017 or 2018 in terms of revenue? Then we'll restructure the business, we'll take out costs and we'll do everything we can to drive to improve or at a minimum maintain our margins going forward. That's all, we're simply telling everyone that bookie look if there is a bit of a change we're going to be in front it, we're not sure if that's the case now or not.
Chase Jacobson: Okay. And the on the outlook, to me it seemed like there is some more confidence in the outlook and it also seems like there may be a broadening what you're looking at a little bit. I know there has always been kind of diverse but it was more focused on industrial and environmental, am I reading that wrong or is there broader focus now - is there something behind the confidence in the acquisition pipeline?
James Ferland: I would say this, at the beginning of the year we said we anticipate announcing one to two acquisitions during the year. We're now essentially good solid four months into the year and we still expect to announce a one to two. So yes, we remain confident and there are some specific opportunities that we obviously think we can bring to closure or with the backing off that statement. So we feel good about the opportunities that are out there. In regard to our focus on industrial environmental or businesses that are very close. I think that's fair, there are some environmental - industrials environmental opportunities we think are good. We also think there are some other business that stick exactly to the same business model, technology-focused engineered solutions with a strong after-market. That may not exactly be industrial environmental, nor are right in our wheel house in our industrial environmental business might benefit from a transaction like that as would our power-generally business. So sticking to exactly the same business model, maybe we're getting a little bit closer, we'll see over the next few months.
Chase Jacobson: Okay, thank you.
Operator: Your next question comes from the line of Tate Sullivan with Sidoti. Your line is open.
Tate Sullivan: Hi, good morning, thank you. Jim can you talk about - I mean, as you consider potential acquisitions and strategic directions, I mean you're - like your balance of foreign cash as a percent of total cash how does that come into the consideration?
James Ferland: So all else being equal, if we had two equal opportunities and one was a little bit more - one was international and one was domestic, we might favor the international transaction simply because that's a nice opportunity to use our international cash. In the end, that won't drive the final decision, right. We're going to pick the best opportunities in the marketplace but yes we love to find an international transaction for a variety of reasons including diversification but also utilization of that foreign cash?
Tate Sullivan: Okay, thank you. And I might have missed it earlier but I thought I saw a mention in the queue about weak industrial omission margins. Can you if - sorry if you commented before but could that be temporary in the quarter is that due to combat competition?
Jenny Apker: Tate, I'm not quite sure what you're talking about, we can…
James Ferland: Yes, I thought I saw that in discussion with MD&A on industrial environmental. We can follow-up but look at industrial held driving the margin front for the quarter.
Tate Sullivan: Okay, thank you.
Operator: Your next question comes from line of Steven Fisher with UBS. Your line is open.
Unidentified Analyst: Hi, thanks, good morning. The is Cleve [ph] on for Steve. I was just wondering how the prospects for growth and international coal new builds are trending? I know we've talked in the past about select opportunities there, are you still seeing opportunities and I'm just curious to have any updates on that market?
James Ferland: We continue to see very select opportunities in the international marketplace for new build, whole. I would tell you that the broader trend is down in that marketplace. Again, our strategy is 90% within that market we do not bid. We go after very select opportunities where we think we can add specific value and it's maybe a bit of a unique situation for a customer. So we still see some of those unique opportunities in the marketplace, they are still there. I would say though that the broader trend for international coal new build around the world, and particularly in Asia is clearly down. I don't think it will have any impact on us but in the macro sense for others, it's not as strong today as it was 6 to 12 months ago.
Jenny Apker: A number of companies/countries have separately announced plans to deemphasize new coal.
Unidentified Analyst: Right, that's helpful. And then just chain follow-up on cash flow, should we - I mean I appreciate the milestones or the big driver but should we expect any seasonality in the business. I mean it's second half in Q4 particular just seasonally stronger because of the timing of billings. And then also - how should we expect international cash to trend as stay international cash balance. I mean it best seems like your mix of business, maybe should be shifting more to international side. Actually think about that. Steve, I think that observation makes sense, to the extent we've got several of those larger projects both, offshore, that cash will be generated offshore. With respect to seasonality - but let me put it back on the cash piece. Let me remind you that our global services businesses is a profitable business but also - it's primarily based in the U.S. and it's pretty cash generative. So it's not that all of our cash is going to be generated offshore, I think it will be a nice balance. With respect to seasonality, our business is not so seasonal as it is a function of the timing of project milestones and as we talked about on the last quarter call, the time - whether we are able to reach a critical milestone that allows us to recognize revenue and build a customer one week versus another week can swing a large payment of cash one way or the other into one quarter or another quarter. So I don't think it's something you should look at seasonal so much as just our ability to achieve these milestones and get the revenue recognition and the cash billing and collection process started. But if there any SEBI slow start in Q1 one from operational cash perspective but we still as we look at all the projects or the milestones, we still feel good about the year.
Unidentified Analyst: All right. Okay. Thank you very much, good examples.
Operator: Your next question comes from the line of Adam Thalhimer, BB&T Capital Markets. Our line is open.
Adam Thalhimer: Good morning, congrats on the Q1. The money that you invested in India, can talk about - can you give us an update on what you're doing there and then also what is the profit from that slide through?
Jenny Apker: The profit on the joint ventures comes through the equity income from investees line which is above OP income. And the decision was made to put some additional cash in India in order to pay-off a loan that joint venture had. It was a very high interest rate loan that was quite frankly impacting their ability to be profitable and the return-on-investment on the cash by putting it in there and paying down that high cost loan we think will be pretty immediate.
Adam Thalhimer: Got it. And can you just talk about what your utilization of that plant is - kind of where you're shipping those products.
James Ferland: Sure, so this is the India JV plant, we tend to call it CBW [ph] its original purpose was to serve what we thought would be a growing Indian cold new build market. It turns out that it's not materialized as fast as we thought so the work that's in that facility today is actually B&W work as opposed to our partner's work or Indian based work. And we're putting a couple of the new international coal plant builds through there and occasionally where it makes sense, we'll put a boiler through that facility for one of our renewable waste energy projects.
Adam Thalhimer: So the equity income line, can give us a little help the $2.7 million, does that go up or just go down - how does look going forward?
James Ferland: So clearly in Q1 it was much improved over Q1 of last year. You know I wouldn't expect it to keep it that run rate necessarily. I'm not what I expected to be a large loss. Going forward, we make a little bit of money in the China JV and at least right now. On a normalized basis we tend to little bit of mone, in the Indian JV there is just not enough work going through that. We will do less in the Indian JV posted a decision to pay down the high interest loan. But that's an essence, to the balance we make a little bit in china, right now, we lose a little bit in India. We're [ph] obviously doing what we can to address that. I don't see the equity income line being a big driver although it helped us in Q1 in the long run.
Operator: You next question comes from the line of Tahira Afzal, with KeyBanc Capital Markets. Please go ahead,
Tahira Afzal: I queued up half an hour ago but you guys are pretty popular it seems so I guess first question Jim, obviously for me, the key our commentary made plenty around goal, with acceleration. We've expected - your outlook in general has been, you can potentially deliver 10% plus organic. And assuming the assumptions surround the retirement. So, as you look out over the couple of year given all the restructuring you've already have accomplished. Do put you have enough labors to fall to really offset, watch potentially it could be seen in terms of a fast acceleration base on the retirements?
James Ferland: I think we do. We feel very good about - though the power - we feel good in the medium to long-term of our industrial environmental. We obviously feel good about the inorganic growth opportunities that we have, and the opportunity to leverage our balance sheet and continue to diversify the company. That said, we expected coal to be little bit slow, slowly decreasing overtime. And we were going to work internally to drive revenues and the services business but were non-coal. And we're still very focused on that and I still think there is opportunity there. And to the extent if coal doesn't slow down a little bit faster than we thought, we've proven ourselves to be very good at taking out cost and maintaining or driving up margins for those businesses. And we expect to do the same thing. If coal did slowdown a little bit, we would be very aggressive on our own cost structure to make sure that we didn't fall behind. And net-net, when you weigh all the positives against the one challenge, I continue to feel very, very good about our ability to drive considerable growth overtime and to make that after-market services, coal-based business, a good cast, a good cash generation business for us right even if we have to do a bit of extra work to make that happen.
Tahira Afzal: Got it. So would you say you've got some contingency plans already because I know when we've talked my senses to think about this quite a bit even before this.
James Ferland: We always have contingency plans and we - you're absolutely correct. And we very closely monitor those markets. And we know those markets, we can read the numbers like everybody else, we probably know the market better than anybody else because of the time we spend with our customers. So if we see something coming, we'll be in front of it, not behind.
Tahira Afzal: Got it, Jim. On the industrial environmental side, I guess - if history has indication, customers in general, the utility sides, for example; have not ready spend on regulatory driven CapEx etcetera. It is a very strong regularly mandate that finds data to it. The industrial customers you're talking to, different - are we going to need something which is the way to find clear law, to really see this market being at cash [ph]?
James Ferland: I think they tend to make decisions in some ways that are similar to our Power-Gen and some ways different. They clearly are not going to - they're going to obviously proactively invest to grow their business, they won't proactively invest in environmental equipment unless they see a regulation that forces them to do so. That for sure is true. The macro trend in the industrial statements is that they tend to be growing overtime even if they're not on the short-run. So they do tend to make investment decisions faster than our friends on the power generation side. I'll give you - there are at least a couple of examples out there; for example, there are some relatively strict deadlines in place in the carbon black market and ensuring we've seen the customers engage with us. And they are waiting till the very end to make the investments, when we've captured a good portion of that work so far. So there is one example that's material enough that we can track it. Where the customers wait till the end and then we're well positioned - well in the in broader environmental upgrade market, it case-by-case, industry-by-industry, country-to-country, and it's the macro that redrives it.
Tahira Afzal: Thank you Jim, that is very helpful.
Operator: There are no further questions at this time. I'll turn call back over to Leslie.
Leslie Kass: Thank you for joining us this morning. That concludes our conference call. A replay of the call will be available for a limited time on our website later today.